Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Myriad Genetics' 2012 Fourth Quarter and Fiscal year-end Earnings Call. During the presentation, all participants will be in a listen-only-mode. Afterwards, we will conduct the question-and-answer session. (Operator instructions). As a reminder, this conference is being recorded Tuesday, August 14, 2012. I would now like to turn the conference over to Rebecca Chambers, Director of Investor Relations. Please go ahead.
Rebecca Chambers : Thank you, Susan. Good afternoon, everyone, and welcome to the Myriad Genetics' fourth quarter and fiscal year 2012 earnings call. During the call, we will review the financial results we've released today and detail our expectations for fiscal 2013, after which we will host the question-and-answer session. If you have not had a chance to review the earnings release, it can be found in the Investor Relations section of our website at Myriad.com. Presenting today will be Pete Meldrum, President and Chief Executive Officer; Mark Capone, President, Myriad Genetic Laboratories and Jim Evans, our Chief Financial Officer. This call can be heard live via webcast along with the slide presentation at Myriad.com. The call is being recorded and will be archived in the Investors section of our website. Please note that some of the information presented here today may contain projections or other forward-looking statements regarding future events or the future financial performance of the Company. These statements are based on management's current expectations and the actual events or results may differ materially and adversely from these expectations for a variety of reasons. We refer you to the documents the Company files from time-to-time with the Securities and Exchange Commission, specifically the Company's Annual Report on Form 10-K, its quarterly reports on Form 10-Q, and its current reports on Form 8-K. These documents identify important risk factors that could cause the actual results to differ materially from those contained in our projections or forward-looking statements. With that, I will now turn the call over to Pete.
Peter D. Meldrum : Thank you, Rebecca. To begin I would like to highlights our results for fiscal 2012, which by all accounts was a year of very strong performance for Myriads. I'm extremely pleased to report that the total company revenue increased 23% year-over-year to reach a new record of $496 million. All of our tasks contributed to this excellent performance. Importantly, BRACAnalysis demonstrated solid year-over-year growth of 15% in fiscal 2012 as we increased our market penetration in both the Oncology and Women's Health segments. COLARIS delivered impressive growth last year as revenues from our colon cancer test grew 48% year-over-year. Our other products also contributed to our record revenues by increasing 32%. For the full year, net income increased to $112.2 million and diluted earnings per share grew 18% to a $1.30. We believe we will continue to reap the benefits of our strategic initiatives for long-term growth in fiscal 2013. Therefore we are projecting revenue in fiscal 2013 to be $550 million to $565 million, which represents an 11% to 14% growth over last year. This level of revenue is expected to result in diluted earnings per share of $1.44 to $1.48, which is also an 11% to 14% growth over the $1.30 reported in fiscal 2012. Jim will discuss the Company's guidance in more detail later on in the call. We are building on these strong results by continuing to execute on our strategic directives for long-term growth and diversification. Underlying these strategic directives is our commitment to improving patient care through the development and marketing of transformative tests across multiple medical specialties and geographies, which address pressing clinical needs. Our strategy is also focused on reducing inefficiencies and costs in the healthcare system, by providing patients and physicians with critical disease information to guide treatment and prevention. As a reminder, our three strategic directives are; first, to grow our existing tests and markets; second, to expand our business internationally; and third, to launch new products, including Companion Diagnostic test across the diverse set of major disease indications. With the successful execution of these directives, we believe Myriad is well positioned for long-term revenue growth and diversification. We will begin to see the benefits of one of these long-term initiatives this year as our international operations are expected to contribute to our revenue this fiscal year. We are excited about the progress made thus far in Europe, as well as the future prospects for the region. Therefore, we will continue building out our infrastructure in five major countries; Germany, France, Italy, Spain and Switzerland. This expansion will focus on our sales and marketing and clinical efforts. In total, 20 additional employees will be hired with the majority focused on educating physicians and patients about Myriad's competitive advantages, which include a 14-day turnaround time, versus the current 6 to 12 months and a 97% mutation risk determination, versus the 70% to 75% standard in Europe today. This additional investment will be critical to the success of our international initiative. As a result, we expect to incur approximately $10 million of dilution to our operating income this year. I believe it is important to note that the impact of the operating income is expected to decrease each year as we move toward our goal of $50 million of international revenue by fiscal 2016. Since we have reimbursement in all five major market countries for our two lead products, BRACAnalysis and COLARIS, our current reimbursement focus in the region is on PROLARIS. We are very optimistic about the potential of the PROLARIS product in Europe and are undertaking several key clinical studies in prostate cancer to drive the adoption and obtain reimbursement for PROLARIS. We remain ahead of schedule with Pro-009, a clinical study in German cohort of approximately 450 radical prostatectomy patients, with the endpoint of biochemical recurrence, and we expect results from this study to be published next year. We recently signed an agreement to analyze approximately 500 French prostate samples, to further validate the PROLARIS testability, to predict prostate cancer outcomes following a radical prostatectomy. We're also focused on initiating additional PROLARIS validation studies with other international groups this year. Our goal with these studies is to obtain reimbursement for PROLARIS in all five of our major market countries within the next few years. Myriad has one of the strongest and most diverse pipelines in the industry. We have 13 candidate tests under development across multiple disease indications. On previous calls we have discussed our lung cancer prognostic test that may help guide the treatment of patients with early-stage non-small cell lung adenocarcinoma. As presented at ASCO in June, our lung prognostic test was highly predictive of five-year survival rates in lung cancer patients and provided physicians with prognostic information that is not contained in any other clinical or pathological data. Additionally, we are making good progress on a number of other tests in the pipeline. One of our most exciting new candidate test is our depression differential diagnostic test. This test is designed to assist physicians in correctly diagnosing patients with major depression versus bipolar disorder. These two major neuropsychiatric diseases have a continuum of symptoms that based on the stage of the disease can present significant diagnostic difficulties to a physician. For example, the depressive phase of bipolar disorder is often indistinguishable from major depression. This product uses a multiplexed protein biomarker immunoassay to identify patients with abnormal protein expression patterns unique to each disorder, thereby assisting the physician in making an accurate initial diagnosis. Differentiating between patients with bipolar and major depression is critical since the therapies to treat these two conditions are very different. Placing a patient on the wrong drug can have life-threatening consequences. In a survey of 225 psychiatrists, 93% said they would use a blood-based diagnostic test for new patients with symptoms of the potentially serious mental illness such as bipolar disorder and major depression. Myriad recently announced a Companion Diagnostic collaboration with Pharma Mar, where we will assist in the BRACAnalysis status in patients who responded to their novel DNA damaging candidate drug. Pharma Mar joins our elite group of Myriad Pharmaceutical collaborators, which include Abbott Laboratories, AstraZeneca, Bristol Myers Squibb, Eli Lilly, Johnson & Johnson, Merck, Novartis and Roche Genentech. Our Companion Diagnostic services business continues to generate significant interest from other pharmaceutical partners as well and we remain pleased with the Myriad RBM progress to-date. Revenue from this business was slightly below our expectations in the fourth quarter. However, and speaking to our pharmaceutical collaborators, excitement for Myriad RBM best-in-class, multiplex, immunoassay service is strong and even importantly, our partners are excited to work with an organization that has demonstrated deep commercial diagnostic capabilities and channels. In summary, we continue to make excellent progress on the goals set forth in our strategic plan to diversify across multiple disease indications and grow revenue both domestically and abroad. We are pleased with the strong performance of our core business in fiscal 2012, and we believe in our ability to execute on our strategic plan for long-term growth in fiscal 2013 and beyond. Now, it's my pleasure to turn the call over to Mark Capone.
Mark C. Capone : Thanks, Pete. As Pete mentioned earlier, our first strategic directive is to grow our existing tests and markets. For fiscal 2012, we developed and executed on a few clear strategic initiatives to increase penetration in both the Oncology and Women's Health segments for BRACAnalysis and COLARIS. We are pleased with the success we saw this past fiscal year, and now have turned our focus to executing our strategic plan in fiscal 2013. I would like to briefly review our fiscal 2012 results before sharing with you our plans for the upcoming year. To begin, our Oncology segment grew 16% year-over-year in the fourth quarter and fiscal 2012, a significant improvement from the 9% growth in fiscal 2011. This accelerated growth in the Oncology segment was due to strong demand for the COLARIS test, as well as a significant increase in BRACAnalysis testing which grew in the low-double digits in fiscal 2012. The growth in BRACAnalysis accelerated due to increased utilization in ovarian cancer, carcinoma in situ and triple negative breast cancer patients. These three indications accounted for about 45% of the BRACAnalysis growth in the Oncology segment in fiscal 2012. Our fiscal 2013 expectation is for the Oncology segment to grow in the low-double digits. This growth is expected to come from three sources. First, the continued focus on Ovarian CIS and triple-negative indications. Second an expanded colon cancer specialist sales force. And third, a translation of the protocol integration program developed using LEAN system concepts, which was successfully piloted in the Women's Health segment in fiscal 2012. We continue to educate physicians on the need to test all ovarian patients and the appropriate CIS patients with BRACAnalysis, as well as the updated NCCN guidelines for triple-negative breast cancer. Combined these indications, are less than 30% penetrated and have significant momentum coming into this fiscal year. The second focus of our Oncology segment is to expand our colon cancer specialist team. As a reminder in fiscal 2012, we piloted a colon specialist sales team to focus solely on selling COLARIS, COLARIS AP, TheraGuide and OnDose. This allowed our current reps in the territory to focus solely on BRACAnalysis. This pilot program was able to achieve breakeven in the first year and therefore, I'm pleased to report that we are expanding the program by hiring an additional 16 colon cancer specialists for the total of 24 specialists. These new specialists should be in the field by the beginning of the second quarter. At that time the colon specialist sales force will be focused on our entire colon portfolio, selling to medical oncologists, surgeons and GIs. Our breast cancer specialist sales force will reach out the medical oncologist, breast surgeons, gynecological oncologists, as well as comprehensive breast cancer centers. Finally, we will be initiating our protocol integration programs to targeted oncology physicians. As you recall, we first implemented this program in select OB/GYN offices in fiscal 2012. This program is focused on a systematic analysis of a physician’s practice to develop the most effective and efficient ways to identify and counsel patients at risk for hereditary cancers. This is particularly important in an oncology practice that likely orders genetic tests, but not on all appropriate breast and colon cancer patients. In the OB/GYN offices implementing this program, we have a six fold increase in physician ordering. Our goal is to complete 600 protocol integrations in the Oncology segment this next fiscal year. The Women's Health segment grew 32% in the fourth quarter and 24% for the fiscal year. This significant growth rate was the result of the successful execution of three initiatives; protocol integration programs to grow same-store sales, the addition of 20 new territories last summer to reach more OB/GYNs and our interactive marketing campaign. In fiscal 2013, we expect to deliver mid to high-teens growth from this segment. By focusing on additional territory expansion, broadening the protocol integration program, and extending the interactive media campaign. In planning for the upcoming year, we performed a thorough analysis and decided to add 11 new sales representatives to territories with large physician counts, bringing the total number of Women's Health representatives to approximately 200. As a reminder, it typically takes six to nine months for these new hires to contribute to growth. We will also be expanding our protocol integration program into additional OB/GYN offices. In fiscal 2012, we conducted 600 protocol integrations and in fiscal '13 we plan to increase that to 900 programs. One area where we've had some initial success is mammography centers, which sees large numbers of appropriate patients many of which come from primary care physicians that we cannot reach. We will continue to focus on this segment in fiscal '13 with additional publications and marketing efforts. In a market that is less than 10% penetrated, we believe these protocol integration programs are critical to deepening penetration. The interactive media campaign was very successful in the fourth quarter and fiscal 2012. Just one of the programs associated with this campaign mySupport360 has generated a strong double-digit ROI since the site was launched in March. In June alone, we saw visit to this site increased to over 20,000 events which equals the number of monthly visits during our mass media advertising campaign. The interactive marketing campaign continues to be a priority for our marketing team. We expect it to be even a larger growth driver in fiscal 2013. While total BRACAnalysis sales grew 17%, COLARIS continued to lead the way with another 51% revenue growth rate during the fourth quarter. Our COLARIS products benefited from both the impact of PMS2 and an increase in overall demand. The impact PMS2 contributed to approximately half of the growth with all of our top payers reimbursing our 4-gene test and over 90% of patients requesting this test. It is important to note the impact of adding the PMS2 gene to COLARIS will begin to comp this quarter, because the overall demand for the COLARIS test remained strong, we expect to see growth in the mid-teens for fiscal 2013. Now I would like to provide an update on the reimbursement conversations with managed care. Currently these conversations are focused on two tests; our large rearrangement test, BART, and our prostate cancer test, PROLARIS. We were very pleased that NCCN recently established new medical guidelines that recommended large rearrangement testing for all breast and ovarian cancer patients that are appropriate for hereditary cancer testing. We expect to see a positive impact from these updated guidelines on our BART testing revenues in fiscal 2013. This recent change was based upon data compiled by Myriad in a 25,000 patient study and published in the journal cancer in April 2012. The study demonstrated that 6% to 9% of mutations can be attributed to large rearrangements. Previously, insurance companies viewed BART as experimental, but with the changes to NCCN guidelines, we hope to obtain reimbursement over the coming quarters from our top payers. Importantly, the intellectual property for the BART test extends until 2025. During the fourth quarter, we also held initial conversations with all of our top payers on PROLARIS. Feedback from these conversations was positive as they belief sufficient analytical and clinical validation has been completed. Payers recognize the clinical need for a test to be able to differentiate between aggressive and indolent prostate cancer, as well as the strong health economic argument for testing. Critical to reimbursement will be Medicare and our dossier has been submitted for review to our local carrier. Additionally, demand for the test is growing as our 20 field-based personnel reach out to thought leaders and fast adopters for both the post prostatectomy and biopsy indications. In summary, we are very pleased with the performance of the Molecular Diagnostic business in both the fourth quarter and fiscal 2012. We remain diligently focused on the execution of our first strategic initiative to grow our existing tests and markets in fiscal 2013. I will now turn the call over to Jim.
James S. Evans : Thank you, Mark and good afternoon. It's my please to present a more detailed look at Myriad's financial results for the fourth quarter and fiscal 2012. Myriad's revenues for the fiscal fourth quarter were $133 million, an increase of 24% over the same period in the prior year. Molecular Diagnostic revenue grew 21% year-over-year, to $127.5 million, driven by increased patient demand in sample volumes for our existing tests. A breakdown of revenue by product reveals that BRACAnalysis revenue grew 17% to $108.7 million, compared to $92.8 million in the same period last year. Revenue from COLARIS and COLARIS AP increased 51% year-over-year to $11.5 million and Myriad's other Molecular Diagnostic products grew 47% year-over-year to $7.3 million. Companion Diagnostic services revenue equaled $5.5 million in the fourth quarter. As we look to the costs and expenses incurred in the June 2012 quarter, we see the continued impact from the investments we are making to ensure long-term diversified revenue growth. This quarter, research and development expense increased to $12.1 million, an increase of 32% as compared to the same quarter of last year. This increased R&D expense was associated with the further development of our diagnostic product pipeline, including the large number of clinical research programs we are investing in to support of pipeline as well as our nine commercialized products. Fourth quarter SG&A expense was $56.6 million as compared to $43.9 million in the same period of last year. The 29% increase in SG&A was due primarily to support the 24% increase in revenue, including additional sales reps for Women's Health, urology and specialist sales teams, increased commissions associated with higher revenue, investments in our European operations, a full-year of SG&A cost for Myriad RBM and a modest increase in bad debt expense versus the prior year. Operating income for the quarter was up 13% to $47.3 million, compared to $41.8 million in the fourth quarter of the prior year. The fourth quarter effective tax rate was 39.9% as compared to 38.2% in the same period of the prior year. Diluted weighted average shares outstanding were 86.3 million shares and during the fourth quarter we bought back approximately $61 million, or 2.6 million shares. The pickup in buyback activity was a direct result of the stock's price during the fourth quarter. Diluted earnings per share grew 14% in the fourth quarter to equal $0.34. Highlights of fiscal 2012 results include year-over-year revenue growth of 23% to equal $496 million as compared to $402 million in fiscal 2011. Molecular Diagnostic revenue grew 18% to $472.4 million and Companion Diagnostic revenue equaled $23.6 million. Operating income grew 14% year-over-year to $180.3 million even after a significant increase in investment for our strategic directives for long-term growth and diversification. Diluted earnings per share grew 18% to $1.30 as compared to $1.10 in fiscal 2011. Moving on to the balance sheet and cash flow, we ended fiscal 2012 with $454.2 million in cash and investments, this compares to $417.3 million at the end of fiscal 2011. Cash from operating activities equaled to $141.9 million in fiscal 2012 and capital expenditures were $9.4 million for the year. During the fiscal year, the Company repurchased 5.7 million shares of our common stock at an average price of $22.59 for a total of $128.5 million. I'll now move on to our expectations for fiscal 2013. As Pete mentioned, total Company revenue is expected to be between $550 million and $565 million or 11% to 14% growth over fiscal 2012. This breaks down to Molecular Diagnostic revenue of $525 million to $537 million and Companion Diagnostic revenue of $25 million to $28 million. Diluted earnings per share is expected to be $1.44 to $1.48 or 11% to 14% growth over this past year. Cash flow from operations is expected to be approximately $150 million. Other items considered in this guidance are as follows; This guidance is based on a stable physician office visit environment for fiscal 2013. We expect to experience typical seasonality throughout the year with headwinds in the first fiscal quarter due to vacations, taken by both physicians and providers, as well as in our fiscal third quarter due to resetting of healthcare deductibles that occur in January. This revenue guidance includes the continuation of the current run rate for PROLARIS and BART testing. If we were to get favorable reimbursement decisions for these tests, it would provide upside to these expectations. Revenue from our bar test is currently reported in the other Molecular Diagnostic revenue line. Reimbursement for BART is farther along within PROLARIS and with the NCCN issuing guidelines in May; we have received some very positive feedback from insurers. If reimbursement discussions are successful and the contribution to revenue meets our expectations, we will break the revenue from this test out in the separate revenue line in future filings. Gross margins from the Molecular Diagnostic business may decrease slightly if BART or PROLARIS are reimbursed faster than expected as these tests have slightly higher cost of goods sold due to their lower volume levels. Companion Diagnostic gross margins are expected to be consistent with last year. Full year R&D expense is expected to be approximately 9% of revenue as we continued to invest in our clinical research programs. SG&A expense will include an additional 11 Women's Health sales reps, 16 colon cancer sales reps, as well as the 20 urology sales reps added in the second half of last year. As a reminder, these reps are approximately $225,000 fully loaded annually. Additionally, our international initiative will result in an estimated $10 million negative impact to our operating income, net of international revenue. In fiscal 2013, the tax rate is expected to be approximately 40%. And our EPS guidance takes into account the impact of stock buyback completed to-date, but does not factor any impact of any future buybacks. As of the end of fiscal 2012, we had approximately $100 million of our $200 million stock authorization remaining. The timing and size of future buybacks will continue to be opportunistic depending on market conditions. With that, I'll hand it over to Rebecca for the Q&A.
Rebecca Chambers : Thank you, Jim. In order to ensure broad participation in today's Q&A session, please limit your questions to one, plus the related follow-up, and then jump back into the queue. Operator, we are now ready for the Q&A portion of the call.
Operator: (Operator instructions). And the first question is from the line of Scott Gleason with Stephens. Please go ahead.
Scott Gleason – Stephens Inc. : Peter, Jim, Mark, thanks for taking my questions. I guess, first just to start off guys, when we look at BART testing, have you gotten any feedback from payors on what that might be reimbursed at? And I guess when we think of a percentage of BRACAnalysis test where you could see BART testing currently done along with BRACAnalysis, can you give us a sense for how that might kind of shape up with reimbursement coverage in place?
Peter D. Meldrum: Sure. Thanks, Scott. First, we're just in our preliminary discussions with payors at this point, so it's probably a little premature to talk about what ultimately reimbursement levels might look like. What I can say is the list price for BART is $700, and so that's obviously starting point for any discussions with payors are around that list price. The second question as to what percentage of BRACAnalysis testing might we expect to see reimbursement, again probably a little early to project that. hat we can say or the NCCN guidelines are such that they recommend that for every BRACAnalysis test that a BART test should also be ordered. That was really based on one of very large size of the study, 25,000 patients. So it's an incredibly large study and that study show that 6% to 9% of mutations were attributed those large rearrangements. And so I think with those two data points in hand, NCCN recommended that every BRACAnalysis test should get a BART test and of course that those publications are made available to our insurers as we have discussions with our payors.
Scott Gleason – Stephens Inc. : Great. And then this is my second question. Pete mentioned the differential diagnosis test in his commentary. I was just wondering, for psychiatric disorders, I was just wondering if we should expect to see any type of market development work really start to hold there, if you guys are going to start building out a direct sales force in that channel. What should we look for the next 12 to 24 months there?
Peter D. Meldrum: Thank you. I think again we're a little early to start building our sales force in the neuropsychiatric market. Obviously we have a very strong pipeline through the acquisition is Myriad RBM and are very excited about the ability to give additional information to psychiatrists and physicians treating these types of disorders. This project is moving along very nicely. It is still in the research and validation stage and as we get closer to considering commercial launch we'll certainly begin to start building out that sales force. But I don't think you'll see anything this year and nothing is in our guidance that would anticipate a neuropsychiatric sales force.
Scott Gleason – Stephens Inc. : Great. Thanks for taking my questions guys and congratulations on a strong 2012.
Operator: Our next question is from the line of Jon Wood with Jefferies. Please go ahead.
Jon Wood – Jefferies & Company, Inc.: Hey, thanks a lot. Is there any material contribution from price built-in to 2013 at this point?
James S. Evans: No. At this point we're not expecting to see any type of price impact being taken into consideration in our guidance for 2013.
Jon Wood – Jefferies & Company, Inc.: Okay, great. And then, Jim, the $10 million of dilution from Europe, is this kind of net off the development cost you spend this year? I think you spent about $6 million this year, just kind of on development work. So how should we – is that $10 million a gross number or net of so effectively it would be $16 million or so on top of the $6 million spent this year?
James S. Evans: No. It will just be $10 million impact in 2013 net of revenues. So the impact to the operating margins will be $10 million not an incremental on top of the $6 million that we had this year.
Peter D. Meldrum: And most of our facilities are built out in Europe. This really just is the operations of the facilities in Europe. There is very little infrastructure to build out in the future.
Jon Wood – Jefferies & Company, Inc.: Great. Thanks, Pete. And the 20 additional employees that you called out, should we assume most of those are sales reps at this point?
Peter D. Meldrum: Yes. The majority would be sales reps. We also have some folks that will work with us in terms of the clinical trials and validation studies that we'll do in each of the countries, particularly on PROLARIS to secure reimbursement.
Jon Wood – Jefferies & Company, Inc.: Great. Thank you.
Operator: Our next question is from the line of Amanda Murphy with William Blair. Please go ahead.
Amanda Murphy - William Blair: Hi. Thanks. My first question is on guidance. So you talked to some of the things that are going to remain stable next year in terms of your expectations, but I'm just curious if you can help us frame out the variability in the revenue top line numbers you've outlined?
Peter D. Meldrum: Thank you, Amanda. Once again let me just go over some of the macro assumptions that were made with our guidance. We are assuming stable physician office visits. So we're not expecting the economy to either improve nor to deteriorate further. We will see I think the typical seasonality that Jim pointed out, a weaker summer quarter and after the first of the year when deductibles are reset that March quarter tends to be weaker for us as well. And I will point out that we are going to be growing the sale force in the women's health segment and contributions from that new sales reps that we bring on will not occur for at least six to nine months after they’ve been on the job. Other than that, I think you'll see typical seasonality that we've seen in the past and we're excited about the growth. Again, as Jim mentioned, there is no price increase assumptions in our guidance either.
Amanda Murphy - William Blair: Okay, fair enough. And then just I was looking for a little more granularity on the international business. Obviously that's doing well and you expect some contributions from that in '13. Just curious if you can give a little more perspective there and also have you had any more – have made any more progress in terms of the system network, the hospital network conversation that you've been having?
Peter D. Meldrum: Yes. As I mentioned, I think we've made great progress in setting up the infrastructure in Europe last year. However, the lab has only been in operation a relatively short period of time. We are still very much in the early stages of this initiative and we are a new company, a foreign company to Europe. So, we have not built in a significant contribution to revenues for this coming year. But as that continues, we certainly will update the street on that revenue progress and we remain on track to meet our goal of at least $50 million in revenue from international operations by fiscal 2016. With regards to other discussions with some of the major networks in Europe, those discussions are going well throughout the region. Again, I'll remind you that our marketing strategy is actually a three-pronged approach to address key oncology and genetic opinion leaders to address the physicians and hospitals, as well as the major testing networks. With our laboratory now in full operations, we can demonstrate to these network groups our superior turnaround time of 14 days versus as much as one year for example in France and our unparalleled accuracy of 97% versus the 70% to 75% that is standard in Europe. And I believe that these discussions will be very successful in the future.
Amanda Murphy - William Blair: Okay. Thanks very much.
Operator: Our next question is from the line of Michael Yee with RBC Capital Markets. Please go ahead.
Michael Yee - RBC Capital Markets: Hey, thanks. First question is on PROLARIS. Can you give maybe a little more color there on your progress in reimbursement and more specifically your estimates for timing there? And my second question is now that the fiscal year is over, it's typically a time where you think about or look forward to the next year, so I would want to go back to my capital allocation question and that is, is there anything that you're waiting for in regards to thinking about a dividend and is there something specific or what is there, is it just time or what? Maybe you can shed some more light there as well?
Peter D. Meldrum: Thanks Michael, I'll take the PROLARIS question and then will hand it over after that. So, I think the conversations as I said in my commentary had really gone very well. I think the first thing you always look for is do they believe there's been sufficient analytical validity? The answer is yes. Do they think there's been sufficient clinical validation to link PROLARIS score to clinical outcomes? And I think those conversations have gone very well and the third thing that they're always looking for, our indications of clinical utility and we are providing some additional answers on that with a couple of the studies we've just recently completed, one of which was the Phase IV study that was completed in Q4. So all of the conversations I think have been very well received at this point. I think they are in the midst of reviewing the dossiers. We would expect to begin to hear back if they feel there is some additional data that might be required. We should begin to hear back this quarter on some of those additional data requirements, including potentially hearing back from Medicare this quarter as well on the dossier we've submitted to them. So I think the conversations we felt have been very productive. There is very high interest level given all the publicity over the last year on potentially overtreatment for prostate cancer. Everybody is looking for a solution to figure out which of the 20% of patients that need some form of treatment from the 80% that do not. And so I think for that reason we found ourselves in the perfect time coming with this solution. So, we would expect to hear over the coming quarter what additional data might be required and then depending on those data needs we'll expect to begin to hear reimbursement decisions thereafter. We still continue to expect 6 to 18 months, which is kind of a historical timeframe for reimbursement decisions. We still think we're in that window when we could expect to hear more definitive decisions.
Mark C. Capone: Let me address the second question, Michael. As you're aware, the dividend topic has come up as we've met with investors over the past year or so, and I have shared those conversations with our Board of Directors. The Myriad board remains committed to returning cash to the shareholders and continues to discuss the most appropriate method or combination of methods for accomplishing that. While we are repurchasing shares under our current plan and we have about $100 million left under that stock purchase authorization, the board is continuing to deliberate and think about the best way to move forward once that's complete. So, I think after we complete the current stock repurchase program, the board will again revisit the best way for us to return cash to the shareholders.
Michael Yee - RBC Capital Markets: Okay. Thank you.
Operator: Our next question is from the line of Isaac Ro with Goldman Sachs. Please go ahead.
Joel - Goldman Sachs: Hi. Thanks guys. This is actually Joel in for Isaac. Just trying to get some more color on how you're thinking about the year-over-year step down in the incremental investment required for the international operations. Like are you expecting by 2016 that impact will be negligible?
Peter D. Meldrum: We certainly believe that by 2016 the international operations will be profitable and contributing to our net income. It's hard to project when we would reach breakeven, but I think we would anticipate a relatively linear growth over the first several years as we move toward that $50 million revenue number.
Joel - Goldman Sachs: Great. And can you just comment on the physician office volumes and trends you saw this quarter?
James S. Evans: Thanks, Joel. Generally we've seen a pretty stable environment. As we discussed last quarter, we had seen a slight increase year-over-year in physician visits particularly in the OB/Gyn segment. In Q4 we saw a relatively stable environment, sequentially again slightly up year-over-year. But generally, I think in our view it's ceased to be a headwind and at this point is pretty stable, and that's the assumptions that we then included in our guidance for next fiscal year.
Joel - Goldman Sachs: Great. Thanks.
Operator: Our next question is from the line of Sean Rodriguez with Cowen & Company. Please go ahead.
Sean Rodriguez - Cowen & Company: Hi guys. Thanks for taking the questions. On COLARIS, I think you've talked last quarter about gaining New York state approval for PMS2. I was wondering if you can just talk about whether this is something that provided some gains in the quarter or this is something that you might see as materializing as a contributor moving forward?
Mark C. Capone: Thanks, Sean. You're right. We did obtained PMS2 reimbursement or approval if you will in New York. We did see that impact in Q4. So I think you would – on a sequential basis, I wouldn't anticipate any additional impact from PMS2 except by just increased demand. So we did see that really materialized in Q4.
Sean Rodriguez - Cowen & Company: Okay, great. Thanks. And one unrelated follow-up here. You talked about your assumptions related to pricing and reimbursement as the top line in the context of your guidance. But given the complicated proceedings on both the reimbursement and intellectual property fronts, is there any detail you can provide on how different potential outcomes on these fronts might impact spend and here I'm thinking things like consulting or legal spend that might go one way or the other based on the outcomes of those dynamics? Thank you.
Peter D. Meldrum: Right now we are not spending a tremendous amount of money as we go through the defense of our intellectual properties. So that fortunately will not be a driver one way or the other as we look at the impact on legal expenses as the one item you threw out there as an example. But really none of those issues would be directly impacted by any of the larger issues that are impacting the business for this year. So, we do ultimately have a lot of flexibility and where we put our spend and how much we're going to spend in different areas. But we don't anticipate at this time needing to pull back on any of our expenses or any of our plans in our next year's budget.
James S. Evans: If I can also add, for the reimbursement side, this obviously has been going on for some time now. So there wouldn't be any material changes in any of our expenses as it relates to the activities around reimbursement. So from a comp standpoint, there's really no change.
Operator: Our next question is from the line of Derik de Bruin with Bank of America. Please go ahead.
Derik de Bruin - Bank of America: Good afternoon. So I need a refresher on BART. If I remember, you introduced that like back in 2006 or so and that was done – that's something that was free of charge if the patient tested negative. But there was a strong family history going on. Are you telling me now that you're going now – every woman now that test negative for BRACA is now going to be reflexed to BART? And I guess, does that mean now you're charging for it? I didn't quite follow what was going on.
Peter D. Meldrum: Thank you, Derik. Yes, your memory serves you correctly. We did launch BART in about 2006. List price is $700 for those patients that wanted to order the test and we have generated revenues from BART since 2006. The Company has worked very hard to do clinical studies to support BART testing for all patients because we felt that BART was a very important component, and as Mark pointed out we have published a large 25,000 patient study supporting the utility and clinical value of the BART. Up until the NCCN guidelines, we would offer BART free if the family history and risk profile was high enough to warrant that for the patient and if it was not, our patient could order a BART for the $700 price. Now with NCCN guidelines, we have the ammunition we need to approach and support with the various insurers, the value and importance of the BART test. We're very optimistic that with those guidelines and with the amount of clinical data Myriad has amassed and the importance to women with a family history of cancer that insurance reimbursement should move along very smoothly. And we certainly hope to at one point in time have everyone who is appropriate tested with the BART test.
Derik de Bruin - Bank of America: Does that mean that you'll go ahead and test for free and then try to get the higher reimbursement?
Peter D. Meldrum: No. At this point with NCCN recommendations that this test should be provided, our goal really is to seek reimbursement from insurance companies. That has typically been for both Medicare and private payors the critical recommendation. And so with NCCN's recommendation at this point, we're actively working with insurance companies to pursue reimbursement for – according to NCCN guidelines all potential patients. We have continued the program that we originally started in 2006, which for the high risk patients until such time as reimbursement decisions are made we have continued to do those for free. But as reimbursement decisions are made that program will phase out. That program was actually started in order for us to amass sufficient clinical data in order to obtain NCCN guidelines. And so that was really the intention all along for that particular program. At this point I think that program has achieved its objective, which is providing the data so that the appropriate decisions could be made about medical guidelines.
Mark C. Capone: Let me just add to that. Myriad has a Patient Assistance Program, not only for BART, but for all of our tests, where if the patient does not have insurance and cannot afford a test, Myriad does do those test for free and did over 3,000 free tests just last year.
Derik de Bruin - Bank of America: Great. Thanks.
Operator: Our next question is from the line of Bill Quirk with Piper Jaffray. Please go ahead.
William Quirk - Piper Jaffray: Thanks. Peter, on international, can you talk about the payment trends just given some of the challenges with certain economies over there right now? And then to follow-up, Jim, can you break down the growth between price, volume and then the Rules-Based Medicine contribution? Thank you.
Peter D. Meldrum: Yes. Europe certainly is experiencing a number of economic difficulties as we speak, but that has not diminished our enthusiasm for our facilities in Europe and our desire to expand revenues on a global basis. We have seen a very positive reimbursement in the five major market countries that we have targeted. As I mentioned for BRACAnalysis and COLARIS, we have reimbursement already and that reimbursement is about on par with what we've seen in the United States. Our goal right now really is to educate physicians and patients to provide superior information in a more timely manner to takeaway market share. Even with the current economic difficulties in Europe, BRACAnalysis represents about 100 million annually, currently being done by networks and labs in Europe. And so our goal is not so much to build the market in a difficult economy, but to actually take market share away. And I think we can do that with superior quality and more rapid turnaround time. So we remain very optimistic about Europe and have not seen any significant obstacles at least to-date with the current economic challenges facing certain of the countries in Europe.
James S. Evans: For breaking down the growth in revenues, so as we talked about, we did see the 18% growth from the Molecular Diagnostic revenue line. And of that, under -- less than 1% was attributable to pricing and that was just some of the bleed through from the BRACAnalysis retesting. Then, of the RBM, it contributed about $21.5 million of growth and if you recall, we only had about one month of RBM on our books in fiscal 2011. So we had the full year of RBM this year. So we had that growth from the $2 million to about $23.6 million contributed from RBM in last year's revenue growth.
William Quirk - Piper Jaffray: Great. Thanks very much guys.
Operator: Our next question is from the line of Tycho Peterson with JPMorgan. Please go ahead.
Tycho Peterson – JPMorgan: Good afternoon. First question on, I understand your guidance here doesn't assume a lot of operating leverage and you obviously highlighted some of the incremental investments that you're going to be making here. But can you just talk a little bit how you think about operating margins maybe longer term? Do you see an opportunity for leverage? And can you also comment on margins for Rules-Based? Do you see an opportunity to kind of expand the margins for that business as well?
James S. Evans: Yeah. So operating margins obviously in this last quarter were increased to support the increase in our overall business and we are seeing the impact of that additional investment they we're making, specifically in the research and development and as we grow out our sales force, and our international endeavors. That being said, for next year, we would expect operating margins to continue in the same ballpark that we saw in this fourth quarter around that 35.5% area. But going forward, we would expect to see some leverage that we're able to bring to bear as we turn to the breakeven with the international investments, as we kind of hit a peak of our R&D investment. So I would expect that in the coming years, we will be able to see improvement to that bottom line as we move out of this time of more investment and are able to take advantages of some of the efficiencies that will be driven from these investments.
Mark C. Capone: Let me comment just briefly on Rules-Based Medicine's operating margins. While we are very focused and very concerned about operating margins in the main business, which is selling molecular diagnostic test, the Myriad RBM unit is really focused at entering into collaborations with major pharmaceutical companies for the purpose of developing Companion Diagnostics that would be sold alongside of the pharmaceutical products, if they're approved through the FDA. And so they're really an engine for Myriad generating potential product candidates, particularly in the Companion Diagnostics space. So we don't look to improve margins in that type of the business. We would rather enter into more pharmaceutical collaborations and generate more products for future revenues, than try to maximize the operations per se. Having said that, we do expect them not to be a drain on the Company's operating margins.
Rebecca Chambers: And then one last thing to add, Tycho, is that this conversation ignores incremental capital deployment. As Jim stated earlier on the call, our current guidance takes into account share buybacks done as of today, but it does not include future share buybacks and therefore that – there could be incremental leverage that's not included in our guidance today.
Tycho Peterson – JPMorgan: And then maybe just a follow up on that, can you talk about your appetite for additional M&A? Obviously with Rules-Based you've got a lot in your plate in terms of the pipeline. But what's your bandwidth for additional M&A or should we think about more collaborations rather than actual acquisitions?
Peter D. Meldrum: Well, Myriad is very committed to and interested in further acquisitions. We have fully integrated Myriad RBM into Myriad. The operations are running very smoothly. We're very pleased as I mentioned with the operations this past year and looking forward to 2013. So we have appetite for more. We do have a relatively high hurdle in terms of what we require in an M&A candidate. But we also have a lot of cash and want to take advantage of our leadership position in this market. So that's certainly not off the table and we certainly have appetite for more if we can find the right opportunity.
Tycho Peterson – JPMorgan: Then one just one last follow-up for Jim. As we think about the tax rate creeping up a little bit in '13, are you looking at anything different from a tax-planning strategy or offsets or should we think about that continuing to go up as Europe ramps in the near-term?
James S. Evans: No, I think we're expecting it to kind of flatten out at the 40% rate for the time being. We do see some way that we should be able to drive that down as the international operations start to turn profitable and give us some opportunities to do some tax planning around that. But for right now, we're comfortable with the 40% tax rate that we're projecting in this next year.
Tycho Peterson – JPMorgan: Okay. Thank you.
Operator: Our next question is from the line of Dan Leonard with Leerink Swann. Please go ahead.
Dan Leonard - Leerink Swann: Hi. Can you give us the growth rate of the BRACAnalysis in the ovarian carcinoma in situ and triple negative indications in the quarter? and also remind us how you would -- about the size of that total opportunity for you?
Peter D. Meldrum: Sure. I think the one number we gave is that 45% of revenue growth last year was attributed to those three indications. All three of those indications in total we put the opportunity at over $200 million annually. We're less than 30% penetrated in those three opportunities so we continue to believe that all of those have some significant momentum coming into this fiscal year and have significant upside associated with those.
Dan Leonard - Leerink Swann: Okay, thanks. And my follow-up just quickly. What's the share count assuming guidance?
James S. Evans: Just under 82 million shares, I believe.
Rebecca Chambers: Per basic.
Peter D. Meldrum: And I think about 86.4 million fully diluted is in the ballpark.
Operator: I'll now turn the call back to you Ms. Chambers.
Dan Leonard - Leerink Swann: Okay. Thank you.
Operator: And now we’ll turn the call back to you Miss. Chambers.
Rebecca Chambers: Thank you everyone. This concludes our earnings call. A replay will be available via webcast on our website for one week. Thank you all again for joining us this afternoon.